Operator: Good day, ladies and gentlemen, and welcome to the third quarter 2009 Nu Skin earnings conference call. My name is Towanda and I will be your coordinator for today. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of today’s conference. (Operator instructions) As a reminder, this conference is being recorded for replay purposes. I would now to like to turn the presentation over to Mr. Scott Pond, Director of Investor Relations. You may proceed, sir.
Scott Pond: Thanks Towanda. We appreciate all of you joining us today. Sitting in the room is Truman Hunt, President and Chief Executive Officer; Ritch Wood, Chief Financial Officer; Dan Chard, President of Global Sales and Operations; and Joe Chang, Chief Scientific Officer. Just a quick reminder that during this call comments may be made that includes some forward-looking statements. These statements involve risks and uncertainties and actual results may differ materially from those discussed or anticipated. We encourage you to refer to today's earnings release and our SEC filings for a complete discussion of these risks. And with that, I will turn the time now over to Truman.
Truman Hunt: Thanks, Scott, hello everyone. We appreciate you joining us today. As our release this mornings indicates, we had a very strong third quarter. Revenue was $334.2 million, which represents our largest revenue quarter ever, and an 8% improvement year-over-year. Earnings per share for the quarter excluding $0.01 of restructuring were $0.41, which is as 58% year-over-year improvement. Highlights for the quarter included solid top line growth in all of our regions, a 270 basis point in our operating margin, reaching 12.5% excluding restructuring. We are really pleased with both the top and bottom line results with our earnings reflecting the benefits of our global restructuring over the past three years. We also remain optimistic about continued growth going forward. This optimism is based on three factors. First, our demographics continue to play in our favor. We are in a strong position to leverage both the aging consumer demographic as well as the increase in those seeking alternative income sources. We see these marketplace trends reflected in our results around the world. For the quarter, we posted double-digit growth in South Korea, Southeast Asia, Europe, Taiwan, Mainland China, and Latin America. And we continue to generate consistent growth in the U.S. with continued sales strength improvement in Japan. So, from a global perspective, I would say that the third quarter reflects our most consistent uniform results we’ve ever generated. Last week, we had a very exciting week. We brought 12,000 of our international sales leaders to Los Angeles for our global distributor convention, which, you may recall, we hold every two years. Our distributors certainly generated their enthusiasm for our new product platform by swamping our product store and keeping our cash registers very busy. This leads to the second reason for our optimism, which is the strength and innovation within our product strategy. Last week, at our convention, we unveiled our new ageLOC daily skin care system, which we call ageLOC Transformation. This set includes four new products infused with innovative anti-aging and skin care science that target both the sources as well as the science of aging. So, as we explained last week to our sales leaders, ageLOC science is based on the discovery of what we have labeled age-related super markers. These super markers are found in human genome and determine how we appear as we age. Our proprietary science and new research partnerships give us a head start in identifying and ultimately in resetting the clusters of genes that keep us looking young. The science behind ageLOC is very compelling, but even now, even more compelling are the clinical results of our new skin care system. The products are highly effective at improving skin characteristics in all of the important areas, including lines and wrinkles and texture, pore size, tone, et cetera. And results from using this system can be seen very quickly. The tag line we introduced during our convention last week is eight way in seven days, reflecting how significantly and how quickly these products work. The response to the introduction was very strong. We’d like to see how the month of October finishes and how the first half of November goes before we disclose any specific sales information related to convention and before providing an update on our forecast for the fourth quarter, which we’ll do in a couple of weeks at our annual analyst day on November 17. One thing I would note, however, is that the launch of the new ageLOC skin care system is much more global in nature than what we’ve done in the past. Typically, in the past, our product launches have been staged over as much as a two-year timeframe, but with ageLOC, we plan to launch the skin care system on a much more compressed timeline with all of our regions launching in the first half of 2010. So, the launch enthusiasm at convention may have been augmented by the immediacy of the launch in markets around the world. Now, we also announced last week an important research partnership with Stanford University as well as an exclusive research partnership with a company called LifeGen Technologies, which is a Wisconsin based research company that we believe is really on the cutting edge of studying aging and in particular studying the genetic roots of aging. These partnerships will continue to enable us to innovate and to validate the science behind the ageLOC approach to anti-aging products. We believe that to effectively fight the battle against aging it must be fought from both the outside as well as from the inside. So, we plan to incorporate ageLOC science into our nutrition line as well with an initial product launch in the fall of 2010. We are really proud of the fact that among major direct-selling companies, we are really the only company that is almost equally weighted between the personal care skin care category as well as the nutrition category and feel like we enjoy a very important competitive advantage in that way. And so we’ll continue to ageLOC science toward [ph] our skin care line as well as into our nutrition line next year. We’ve always felt confident in the strength of our product offering and the fact that we’ve always been backed by solid science, but with ageLOC we really believe that our product strategy is more compelling than it’s ever been. Now, the third reason for our optimism is our continued operating margin improvements. We are enjoying the benefits of the business transformation, which we initiated three years ago. G&A in the most recent quarter improved 160 basis points year-over-year and the impact of innovation on our distributor commission structure is also improving our operating margin. The net effect of these efficiencies is a 270 basis point improvement in operating margin in the quarter. So, overall, we are very pleased with the direction of the business. Our strategy to thrive through this recessionary period was to innovate and we did that effectively. And we believe we are in a great position to continue to grow at a healthy rate. Looking to the fourth quarter and into 2010, we continue to see great things ahead for Nu Skin Enterprises. So, with that, I will turn the time over to Rich.
Ritch Wood: Thank you, Truman, and thanks to all of you for taking some time to join with us today. I’ll first give the local currency revenue figures in our major markets. In the North Asia region, third quarter revenue in Japan was 10.7 billion yen compared to 11.2 billion yen in the same quarter of 2008. And South Korea achieved another record revenue quarter with revenue of 46.7 billion won versus 40.7 billion won in the prior year. In the Americas, the U.S. posted $50.4 million in revenue compared against $48.5 million in the prior year. Canada continues to post extremely strong growth, reporting $6.6 million Canadian in the quarter compared to $4.5 million Canadian in the prior year. And Latin America revenue was $4.9 million compared to $4.5 million in the prior year quarter. And then in the Greater China region, Mainland China revenue was 123.2 million Renminbi during the quarter versus 104.3 million Renminbi in the prior year. And quarterly revenue in Hong Kong was $94.0 million Hong Kong compared against $102.5 million Hong Kong in the same quarter of last year. And finally Taiwan revenue was 794 million NT compared against 718 million NT in 2008. Our gross margin for the quarter was 81.4%, 30 basis points lower than the prior year and although gross margin has been impacted by the increasing sales of the Galvanic Spa unit, as well as a shift in our global revenue mix, where we did experience a slight sequential improvement, and believe our gross margin is now headed in the right direction. Selling expenses for the quarter were 41.3% compared to 42.6% in the third quarter of 2008. And as we have discussed in prior quarters, these improvements are attributed to the Wealth Maximizer modifications to our distributor compensation structure and currently all the markets around the world for us with the exception for South Korea and China operate on this new unified global plan. Again, the objectives of the plan are to achieve retention level income for early executives and then to increase productivity of all of our sales leaders. We are seeing those objectives being accomplished. General and administrative expenses for the quarter were $92.5 million or 27.7% of sales compared to 29.3% of sales in the prior year period. And we just continue to experience nice progress as we streamline our business and better leverage our corporate overhead structure. We incurred a planned restructuring charge of $0.8 million during the quarter. This is related to the restructuring of our Japan operations. The final piece of this Japan restructuring effort should take place in the fourth quarter, expected to be about $1.0 million and associated with some final walk-in center changes that will be happening in the fourth quarter. The Company’s operating margin was 12.5% for the third quarter. That’s excluding the restructuring charge. And that represents a 270 basis point improvement over the prior year. We are tracking well ahead of our planned operating margin goal for this year and now expect our 2009 operating margin, excluding restructuring charges to be somewhere in the 11.2% to 11.3% range. Operating income for the quarter excluding the restructuring charges increased about 38% over the prior year. During the quarter we reported a net loss of approximately $2.8 million in the other income expense line of our income statement. This expense is made up primarily of foreign currency translation losses and net interest expense. In the prior year, the Company reported a loss of $8.3 million on the same line item, which was due mostly to foreign currency translation losses. Our tax rate for the quarter was 32.9% and during the quarter we paid out $7.2 million of dividends and repurchased $7.8 million of Company stock. And these leaves our Company’s approved repurchase authorization at approximately $70 million. We’ve raised our fourth quarter revenue estimate to $343 million to $348 million. That puts our annual revenue guidance at approximately $1.29 billion to $1.3 billion. The fourth quarter revenue projections estimate a benefit from foreign currency of around 3% to 4%. And based upon this higher revenue and our improving operating margin, we also increased our earnings per share estimate for 2009 to $1.38 to $1.40 excluding our anticipated 2009 restructuring charges of approximately $0.13. Note that in the fourth quarter we did have our international convention, which we held last week in Los Angeles. That will add an incremental overhead cost of about $7 million that just essentially adds into our overhead in the fourth quarter of this year. With that, we’ll go ahead and open the call up now for questions.
Operator: (Operator instructions) Your first question comes from the line of Olivia Tong with Bank of America/Merrill Lynch. Please proceed.
Olivia Tong – Bank of America/Merrill Lynch: Thanks, good afternoon. Just want to talk a little bit about the Q4 outlook. You guys did a pretty substantial (inaudible) this quarter and if you take out four points of the effects, looking at sort of a four – let’s say a 4% organic growth expectation for top line in Q4, is there something that I am not thinking of that would make it decelerate from the plus seven that you did in Q3? Or is this just sort of – it’s still kind of early on in the process of recovery and you want to – you don’t want to over promise so early on?
Truman Hunt: Yes, I think it’s a matter of trying to be conservative of what we have going on. Our big launch of ageLOC really happened in the first quarter of next year. We did have a real strong convention, which came in as we – right after we had kind of given the fourth quarter guidance as Truman mentioned. We’ll kind of weight that in with the end of the October month here and beginning of November. Essentially with 3% to 4% benefit from foreign currency, it puts our growth rate in about the 5% to 6% local currency growth rate, which is an acceleration from where we were in the first half of the year. So we do continue to see the business very strong coming into the last half of the year.
Olivia Tong – Bank of America/Merrill Lynch: Got it. And then just the margin expansion obviously has been pretty impressive this year. And just sort of wondering I know it’s a little early and you are going to be talking about 2010 come analyst day, but wondering if you could give – just give us a little bit insight into where you think that margins will go in the next couple of years and what’s going to drive that, whether it be gross margin getting a little bit better or if it’s more efficiencies in G&A or better leverage on the Wealth Maximizer program.
Truman Hunt: Yes, this is probably an area as a Company we are – management team we are very encouraged about because it’s taken a lot of work to get to this point, but we really do feel like we are just starting to feel the benefits of a lot of the efforts we’ve put in place. Obviously we are seeing that in selling expense. We are seeing it in G&A. We’ll have some additional benefits next year because we’ll get the full effect of the Japan restructuring. We do believe there is opportunity in gross margin, especially with the launch of ageLOC, and so we will kind of lay out our details in the way we see the plans rolling out at our investor day and try and get more transparency to what we are thinking at that point in time.
Olivia Tong – Bank of America/Merrill Lynch: Okay. And then share repurchase is something that you guys continue to do a little bit of, but are there any thoughts as far as stepping that up a little bit just your cash balance is building quite a bit this quarter. So, just wondering what your plans are as far as I suppose cash usage.
Truman Hunt: You are right, Olivia, we do see healthy accumulation of cash and we’ll continue to accumulate cash at a rapid rate actually going forward. You know, our history is to use our cash to improve shareholder value. We now have a nine-year track record of increasing dividends and I think we’ve been very generous as well on our share repurchase programs. So, using our cash to benefit shareholders is our top priority and it’s what we’ve done, it’s what we are likely to do going forward.
Olivia Tong – Bank of America/Merrill Lynch: Are there any thoughts on potentially accelerating share repurchase a little bit?
Truman Hunt: Well, there are always thoughts, but as you know that’s a Board decision and an issue that our Board will consider every quarter when we get together.
Olivia Tong – Bank of America/Merrill Lynch: Fair enough. And then just lastly, I want to talk a little bit about Pharmanex. Clearly, direct selling is a momentum business and you talked about some of the things that you are planning to do in 2010, but this has been sort of an overlooked half of the business, dare I say. Over the past couple of years, you’ve put more of the efforts behind skin care. Just wondering what’s your thoughts are on your – the switch towards that business again in 2010, given that this is a momentum business, and how you are going to build that.
Truman Hunt: Well, it is a momentum business and whatever do we like it to be incremental to current activity. For our sales force though, they are now really accustomed to the notion of operating in both of these two categories. And the fact of the matter is that the ageLOC story is probably more impactful and more meaningful internally than it even is externally. So, the infusion of ageLOC science into the Pharmanex line is going to make for a very compelling story in 2010 and 2011. But we think the two sides of the business can really operate hand in hand because they are both very relevant in fighting the anti-aging data.
Ritch Wood: And just one other comment maybe is that we were really encouraged with the strength that we saw in the Pharmanex business in the third quarter. For us that business has been a little bit over the last let’s call it four or five quarters. With the strength of the Galvanic Spa, we actually thought kind of steady a little bit and grow about 4% or 5% sequentially up to the second quarter. So, we are actually quite encouraged with that business and the way it’s holding very steady.
Olivia Tong – Bank of America/Merrill Lynch: Got it. Thanks very much.
Operator: Your next question comes from the line of Tim Ramey with D. A. Davidson. Please proceed.
Tim Ramey – D. A. Davidson: Good morning. Congratulations. Congratulations again. There was some really big number that was bandied about in terms of the amount of sales that could occur in your – at your convention. I don’t know whether you would get into that level of granularity, but did you – you said that it was well received and so on. There was a lot of enthusiasm. Is there any estimate of how much ageLOC products might have been sold at the convention?
Truman Hunt: Yes, Tim, there was unprecedented enthusiasm and demand for ageLOC products at the convention and I think it’s fair to say that our sales results there really blew right through our projections and kept us working all week trying to fill demand for the product. But, we have wanted to wait to get through the month of October before we really start talking about specifics because there are some unique factors that went to sales results at convention including perhaps most significantly the fact that it was a limited time offering. So, you get a hold of the new ageLOC system between October and January, you had to be a convention to do it. And that really fueled the purchasing dynamic at convention. But, I don’t say that to take away at all from the magnitude of the launch. It was significant and will be multiple times higher than what we’ve experienced at past conventions.
Tim Ramey – D. A. Davidson: Okay. And did you mention – if you did, I missed it – the discrete sales level for Galvanic Spa or that system what – how that’s been tracking.
Truman Hunt: Yes. In the third quarter the Galvanic Spa and gels bumped up again to about $68 million up over about $65 million as I recall in the second quarter. So, good energy remains there and what’s really fun, frankly about the new system is that it works hand in hand with the Galvanic Spa and will really add fuel to the Galvanic Spa fire.
Tim Ramey – D. A. Davidson: Terrific, thanks a lot.
Operator: Your next question comes from the line of Rommel Dionisio with Wedbush Morgan. Please proceed.
Rommel Dionisio – Wedbush Morgan: Yes, thank you, good morning. Could you provide a little more color on the Chinese – the Mainland Chinese market? This definitely saw nice double-digit growth there in local currency. Could you just maybe walk us through what’s working there for you and the outlook for that going forward?
Truman Hunt: Yes. As you know and as anyone who has been following us over the past few years know is we really more or less pushed a reset button on the China business in the fourth quarter of 2007. So we are about two years into reformatting our business model there in line with Chinese regulations. And what we are – what we have today is an infrastructure that is profitable, which is very important and encouraging to us, but which is – which also really I think provides a solid foundation for growth going forward. Our management team has worked very hard there to get the business back on track. Third quarter results reflect that. The benefit of the changed business model and the restructuring are really beginning to play out. But I would say that the fourth quarter is a difficult comp, because we launched the Galvanic Spa last year in China in the fourth quarter and we also had a large contingent of Chinese sales leaders at our U.S. convention last week who did a lot of purchasing in the U.S. So, frankly, market-to-market results in the fourth quarter are going to be a little bit tricky because of the fact that convention revenue will be booked in the U.S. But China is back on track and we are optimistic that it can be a growth story going forward.
Rommel Dionisio – Wedbush Morgan: Right, good to hear it, thank you.
Operator: Your next question comes from the line of Pierre Auslan [ph] with Jefferies & Co. Please proceed.
Pierre Auslan – Jefferies & Co.: Thanks, good afternoon everybody. Congratulations. Question on executive distributors or I guess I should say distributors as a whole. By my reckoning, this is the best executive distributor growth in some time at least going back a few years. I think in four of the five regions, it looks like the trends in actives lag that of executives. Just curious if that is mostly kind of the economy at large and then I guess secondarily is there an opportunity as this new product story is compelling as it is as this story develops, is there an opportunity to kind of go back and target and try to reactivate those people?
Truman Hunt: Well, our reckoning aligns with your reckoning and you are right, the executive trends are improving. We are also very pleased with the trend and the number of people who are qualifying to become executives and that’s really starting to be reflected most significantly in Japan where our turnaround efforts there are really paying off and we have more and more people coming into the business. I do think that the increase in executives is reflective of the economic trends generally. Executives in our business are really the people who are joining the business to try to make some money. And the fact that the executive number is trending up is a good sign. And our revenue will continue to trend with that.
Ritch Wood: Maybe one other comment too to add to that, Pierre, is that in order for us to really grow the business with the ageLOC opportunity launch, we have to grow sales leaders. And our focus over the last several months as we’ve been preparing for this launch is to really talk to that opportunity. It’s a good indicating sign to us that we are seeing the executive number grow and that will be the real tell tale as to how successful the ageLOC product launch is and that is can we drive our executive number forward.
Pierre Auslan – Jefferies & Co.: Sure. Related to Japan, with the local currency trends improving there, maybe just qualitatively can you kind of update us on what exactly the restructuring in Japan entail? I mean obviously we know that the impact is $0.13 to the bottom line, but you know just sort of what – maybe one, two, three initiatives specifically have been undertaken to kind of get that market sort of aligned with how the other markets are behaving?
Truman Hunt: Yes. I mean the restructuring in Japan really at the highest level entail aligning the Japanese business and growth initiatives in Japan with what’s going on in the rest of the world. And so our management team there really has been formatting the business leveraging all best practices from markets – from other markets around the world and aligning our growth initiatives there with what’s happening elsewhere, including alignment behind the ageLOC strategy and upcoming product launches. So the – one of the things we are doing differently in Japan from a top line perspective it’s beneficial there is that we are launching ageLOC in Japan actually slightly ahead of the rest of the world. We’ll launch (inaudible) formally in Japan in December as opposed to January. And I think the Japanese leaders are very enthusiastic. We have a large event scheduled for December where we anticipate having about 15,000 Japanese sales leaders there really formalizing the launch of ageLOC in Japan. So, at the highest level and from a top line, Japan is aligning with the rest of the world. From a bottom line perspective, the transformation we’ve done there is really related to headcount and to physical facilities and walk-in centers. You want to add to the bottom line theme –?
Ritch Wood: No, I think that’s about right. The cost is about a 12-month recoup. You know we picked up about $5 million of benefit this year and then we’ll pick up another $5 million next year, but essentially reduced our overhead infrastructure by about $10 million from our 2008 level.
Pierre Auslan – Jefferies & Co.: Great.
Truman Hunt: Our forecast for the fourth quarter anticipates slight trend improvement in Japan and the real potential upside play [ph] to Japan is the fact that we are launching ageLOC a little bit ahead of the other markets to some extent in December. So, there is some upside to our guidance there.
Pierre Auslan – Jefferies & Co.: Thanks a lot. It’s very encouraging. Thank you.
Truman Hunt: Thank you.
Operator: Your next question comes from the line of Diederik Basch with Canaccord Adams. Please proceed.
Diederik Basch – Canaccord Adams: Hi, thank you. At the convention there was a group of distributors that were not able to get the ageLOC product at least on the first day, and I am just wondering did you have any kind of fallout because of that? And as you head into your global launch, are you adequately prepared on the supply situation?
Truman Hunt: Yes. It was a bit of a frenzy, Diederik, and there were some disgruntled distributors, it’s true, on the first day of the convention. But we – our team went to work and we even had – believe it or not – spouses of employees shrink wrapping product and working their tails off to fill demand for the product. It’s fair to say that we did not fill all of the demand for the product at the event. But we did succeed at making sure that everyone who came to convention was able to purchase at least one and in most cases even two or more sets of the ageLOC products. So, by the end of the convention, we had managed, I think, to alleviate most of the angst associated with the first day of sales.
Ritch Wood: And I think from a supply standpoint, we are modifying forecast looking at that based on the experience, but there is not a supply issue other than the timeframe, trying to meet the timeline that’s out there.
Diederik Basch – Canaccord Adams: Okay. And when you look at your Asian markets, the one that are growing double digits, would you say those markets are driven more by the product or the business opportunity? And can you compare that to North America?
Truman Hunt: Well, that’s kind of the age-old debate with any direct selling company, I suppose, Diederik, but the answer to that question is that, our business moves forward based on the appeal of both the business opportunity and the product platforms. And it’s really not one or the other, it’s both working together, hand-in-hand, and the fact that the economic environment around the world is really bright for business opportunity and the fact that we have a very compelling product platform combined to make for a good story right now.
Diederik Basch – Canaccord Adams: Okay, thanks, and congratulations.
Truman Hunt: Thanks, Diederik.
Operator: Your next question comes from the line of Mark Astrachan with Stifel Nicolaus. Please proceed.
Donald – Stifel Nicolaus: Thanks. This is Donald [ph] standing in for Mark, and actually all my questions have been answered already. Thank you.
Truman Hunt: Thanks, Donald.
Ritch Wood: Thanks, Donald.
Operator: Your next question comes from the line of Bret Jordan with Avondale Partners. Please proceed.
Bret Jordan – Avondale Partners: Good afternoon. A couple of quick questions here and one of them goes back to the convention retail volumes. Do you have a feeling for what was done in the balance of the convention after the first day on ageLOC product? Were you able to get as much product as you went into it with to replace from the first day sell through?
Truman Hunt: Well we do have a feel for the sell through at convention after the first day. And we will be providing transparency on that number at our analyst day meeting on November 17th. We just want to get through the month because we want to make sure that the excitement that we saw at convention is – was really incremental to October sales volume generally before we put a number out there that might get people excited.
Bret Jordan – Avondale Partners: Okay. And then on convention, I guess give a feeling for the demographic, was there a particular region of distributors that was excited about ageLOC versus another, did more products go into Asian consumption? I guess they were capped at two packages a piece for some of the export markets, but was there a feeling for any markets that were particularly strong in that category?
Truman Hunt: The reality is that we saw huge demand for the product from all of the regions – Japan, Korea, Greater China, the Americas, and Europe, all very, very anxious to get their hands on the ageLOC products. Southeast Asia probably a little bit less than the other regions only because they will be bringing the product line on a little bit later than the other regions will. One thing we did learn in the product showroom is that the Chinese and the Koreans tend to be the most aggressive physically to get their hands on products, but the enthusiasm for this system is really global.
Bret Jordan – Avondale Partners: Okay. And I guess that somewhat during the convention that the margin on ageLOC is a couple of basis – a couple of hundred basis points higher. Was that higher than you aggregate gross margin or higher than a comparable skin care product gross margin?
Ritch Wood: Yes, it’s really both, well higher than our aggregate gross margin and about 200 basis points higher than what we would expect potentially cannibalize products.
Bret Jordan – Avondale Partners: Okay. Thank you.
Operator: (Operator instructions) Your next question is a followup from the line of Tim Ramey with D. A. Davidson. Please proceed.
Tim Ramey – D. A. Davidson: Yes, Ritch, I think you said everyone got one or maybe two kits of the ageLOC – what is the price point there on these kits or however you term that, I am not sure?
Ritch Wood: Yes, generally what we were selling especially the last couple of days was what we call the transformation kit, which is one of each of the four products that we launched and the price on that around $275.
Tim Ramey – D. A. Davidson: Okay. Alright. Thanks very much.
Truman Hunt: Thank you and thanks to everyone who has joined us today. We are very excited about the direction of our business. Probably in my experience, frankly, we’ve never had it quite as good, and the markets are lined up and moving in the same and positive direction. And we look forward to a very successful fourth quarter and a very successful 2010. We invite all of you to join us on November 17th at the Waldorf Astoria 9:00 to noon where we will go over an update on our fourth quarter plans and we’ll also lay out our plan for 2010 and even a little bit beyond 2010. So, we look forward to seeing you then. Thanks very much.